Operator: Good day, ladies and gentlemen, and welcome to the Net1 UEPS Technologies Inc. Third Quarter 2014 Earnings. [Operator Instructions] Please also note that this conference is being recorded. I would now like to hand the conference over to Dhruv Chopra. Please go ahead, sir.
Dhruv Chopra: Thank you, Dylan. Welcome to our Third Quarter Fiscal 2014 Earnings Call. With me today are Dr. Serge Belamant, our Chairman and CEO; and Herman Kotze, our CFO. Both our press release and Form 10-Q are available on our website, www.net1.com. As a reminder, during this call we will be making forward-looking statements and I ask you to look at the cautionary language contained in our press release and Form 10-Q regarding the risks and uncertainties associated with forward-looking statements. In addition, during this call we will be using certain non-GAAP financial measures and we have provided a reconciliation of these non-GAAP measures to the most directly comparable GAAP measures. We will discuss our results in South African rand, which is a non-GAAP measure. We analyze our results of operations in our 10-Q and in our press release in rand to assist investors in understanding the underlying trends of our business. As you know, the company's results can be significantly affected by currency fluctuations between the U.S. dollar and the South African rand. With that, let me turn the call over to Serge.
Serge Christian Pierre Belamant: Thank you, Dhruv. Good morning to all of our shareholders. Our third quarter results once again demonstrate the intrinsic value of our group and our ability to implement the most complex systems on a national basis. I am particularly pleased with the huge strides we have made in banking and in providing financial inclusion to more than 10 million South Africans, as well as growing all of our core businesses, namely CPS, KSNET, EasyPay, our financial services segment, as well as our mobile solutions, which is focused -- which is a new focused business unit. For quarter 3 2014, we reported revenue of $138 million, which is a year-over-year increase of 60% in constant currency. Fundamental EPS in the quarter was USD 0.47, which is an increase of just over 1,000% in constant currency. Our traditional core transaction processes, which includes CPS, KSNET and EasyPay, together accounted for approximately 72% of revenue in quarter 3 of 2013. [Technical]
Serge Christian Pierre Belamant: All right, I will go back to the previous paragraph. For quarter 3 2014, we reported revenues of USD 138 million, which is a year-over-year increase of 60% in constant currency. Fundamental EPS in the quarter was USD 0.47, an increase of just about 1,000% in constant currency. Our traditional core transaction processes, which includes CPS, KSNET and EasyPay, together accounted for approximately 72% of our revenue in quarter 3. The proportional representation is gradually declining as our financial services and mobile solutions initiatives become more and more meaningful contributors to the group. Similar to the first half of fiscal 2014, in Q3 our focus remained on our complementary and supplementary growth areas now that our SASSA registration efforts are complete. According to statistics from SASSA, over 1 million beneficiaries were removed from the payment database in 2013. Our proprietary biometric technology, including our one-to-many search capability, has therefore resulted in savings to the public purse in excess of ZAR 3 billion or $286 million, and this is of course recurring annually. These savings have been achieved over and above the significant savings accomplished from lower service delivery fees, driving increased productivity and efficiencies for SASSA. It is interesting to note that such savings is far greater than the payment we received from SASSA on an annual basis. We will continue to leverage our technology to further identify any areas of fraud and corruption and therefore, generate further savings for government. We believe SASSA will continue to channel significant portions of these savings to further expand government's social assistance programs. As we have highlighted before, our UEPS technology is 100% EMV compliant, with the crucial additional ability to perform biometric verification and operate both online and off line. Now that the -- that our industrial-strength payment infrastructure has been completed and optimized, it is time to utilize its embedded additional functionality to provide SASSA with a myriad of alternatives through they will be able to tailor make new social welfare programs, such as conditional grant issuing, the creation of loyalty schemes, the dynamic linking of healthcare regulation and education attendance, thus enabling for the creation of the most social wealthy system in the world. During the third quarter, based on our plan with SASSA, we began authentication -- authenticating beneficiaries with our voice biometric technology and as well the case with our initial deployment, the transition has progressed extremely smoothly and successfully. In order to simplify voice-based proof of life certification process, we are introducing a push service to ensure that all beneficiaries that wish to use such a service are contacted and verified. This new development will not only ensure better compliance but also allow us to balance our load volumes. We believe that our MasterCard issuing platform, together with our fully integrated banking platform and our myriad of advanced secure mobile solutions, has the potential to change the way banking is currently performed in South Africa, as well as in many other developing countries of the world. At Net1, we continue to believe that our disruptive technology will help fully accelerate inevitable change to business model and our data technological solutions, resulting in lower costs, better functionality, personal security and the financial inclusion of all people regardless of their financial or social status. Let me now spend a few minutes addressing the Constitutional Court's remedy, the current status of our SASSA contract and what the potential next steps could be. As you are now aware, on April 17 the Constitutional Court ruled on the appropriate remedy following its declaration on November 29, 2013, that the tender process followed by SASSA in awarding a contract to CPS was constitutionally invalid, but suspended the declaration of invalidity until a new tender is awarded or for the remainder of the existing contract period if no tender is awarded. SASSA is required to initiate a new tender process within 30 days of the court's ruling, and any award must be for a period of 5 years. In addition, the court required new and independent bid evaluation and bid adjudication committees to be appointed to evaluate and adjudicate the new tender process. If a new tender is not awarded, the declaration of invalidity of the current contract between SASSA and CPS will further be suspended until the completion of the 5-year period for which the contract was originally awarded. SASSA therefore is to commence the process for a new tender in the next couple of weeks and is likely to engage us as specialist to assist them through the various stages of the process in order to avoid repeating any mistakes that were made the last time around. At this point, we do not know when SASSA may issue a new OFP [ph] or what the contents of that OFP [ph] could entail. As and when those details are determined, we will respond accordingly and look forward to once again participated in SASSA's tender. Given our successful track record of seamlessly and efficiently distributing grant on behalf of SASSA, as well as the robustness, security and flexibility of our technology, we are confident of remaining an integral supplier to the South African government for many years to come. Separately, there have been no further development in either the U.S. government investigations of the class-action lawsuit, and we await further guidance from the respective authorities and courts. Finally, I am very pleased to have concluded our BEE transaction, and I stressed previously that it is imperative for the South African business to be impelled and express its commitment to the principles and objective of BEE and to comply with the established codes of good practices and transformation charters. We believe the transaction we have concluded achieves this goal. I will now review the performance of our key businesses. Within the South African businesses, CPS posted a modestly higher volume as organic growth in beneficiaries was partially offset by the removal [indiscernible] grants during Q3 2014. We continue to observe growth in transaction and merchant processing activity across our transaction processing businesses. Profitability in the segment improved substantially over the comparable period last year as we did not include any implementation costs associated with the ramp of the SASSA contract, but partially offset by grants in our lower-margin airtime businesses. Having effectively facilitated financial inclusion for more than 10 million South Africans, we can utilize our infrastructure, technology and expertise to address the similar need of all the citizens who also require a local banking service with all of its functionality. This includes our biometric-based security, our money transfer system, as well as all of our financial services, which I reiterate are provided in compliance with all the relevant South African laws and regulation. Net1 mobile solutions continue to build on the success from the first half by driving sustained growth in its prepaid airtime business, while also more recently introducing additional mobile-based products such as prepaid electricity and banking value-added services. The success of this product demonstrates the power of business to consumer delivery through our inventive leading-edge mobile technologies. Furthermore, the strong adoption by consumers also demonstrates, one, the relevance of the specific products to the consumers of such services; two, that the cost of these products is lower than what consumers were paying previously through either informal or traditional channels; and three, the increase in convenience with which these products are accessible. Since launching our mobile base prepaid airtime solution in quarter 1, Net1 mobile has performed over 110 million transactions. And at peak times, we have processed more than 2.2 million transactions per day. In mid-March, we also launched a similar product in Malawi with Telekom Networks Malawi, and early indications suggest that adoption rates could be similar or higher to those observed in South Africa. The number of sales per day already exceed 120,000. We are in discussions with another 4 similar territories for the same product range. In addition to the success in South Africa, Net1 mobile launched its second MVC product in the United States in late January named Pay in Private, in association with an e-commerce provider with a few million subscribers. There are an additional 3 to 4 other MVC opportunities we are actively pursuing with specific partners, in some cases, regionally and in others, globally. With this momentum, Net1 mobile has grown revenue more than 300% year-over-year and has now in excess of 3 million distinct customers; provides more than 8 separate products, including airtime, electricity, discount vouchers, financial inquiries, educational content, job identification and as a result, has become the third-largest revenue contributor to the group after CPS and KSNET. Meanwhile, we remain actively engaged with MasterCard in pursuing opportunity for our UEPS/EMV solution in multiple geographies. Both organization continued to be extremely proactive in a pursuit of new opportunity globally. Sales cycle for last payment system can be fairly lengthy, but we remain committed to capitalizing on these opportunities when they occur. Our financial services businesses has commenced with the national rollout of its UEPS-based lending activities during the first half of fiscal 2014 and further expanded its lending activity in quarter 3 2014 as we built out our sales force and infrastructure. Similar to our mobile prepaid products, our financial solutions product saw very specific challenges of our space dramatically improved the affordability and in many instances, the dignity in the way that they are able to conduct business and facilitate inclusion into the form of financial services sector while also escaping from the debt spiral that often occurs when borrowing from an informal sector. Finally, for KSNET, in quarter 3, we posted a 6% local currency revenue growth and, once again, driven by solid gains in our core card VAN business and meaningfully stronger growth in our smaller but higher-margin banking VAN and payment gateway businesses, driving year-over-year revenue and operating income growth. KSNET was not affected by the recent security breach in the Korean card market, but the breach, winter seasonality and general macroeconomic sluggishness had a minor adverse impact on overall industry volumes during the quarter. Over the next 6 to 12 months, we plan to accelerate the implementation of our -- some of our strategic initiatives in Korea in order to drive incremental and long-term profitable growth. As discussed in the last 2 quarters, we have begun to rationalize some of our smaller and underperforming businesses, and we will continue to focus our efforts on the core businesses that can generate sustained top and bottom line growth, including South Africa, EMV/UEPS solution, financial services, mobile solutions and of course, KSNET. To conclude, we recognize that there is uncertainty around our SASSA business, but we reiterate that there is no change to our operational and strategic focus, at the very least, if or until a new SASSA contract is awarded. And as I mentioned, we are confident in our technology, innovation and track record to remain an integral supplier to the South African government and its citizens. With that, let me turn over to Herman. Herman, over to you.
Herman Gideon Kotze: Thank you, Serge. As usual, I will discuss the key results and trends of our significant operating segments for the third quarter of 2014 compared to a year ago. For Q3 of 2014, our average rand dollar exchange rate was ZAR 10.87 compared to ZAR 8.47 a year ago, which negatively impacted our U.S. dollar-based results by approximately 28%. The rand remains one of the most volatile currencies in the world, and it's currently trading at around ZAR 10.32 to $1. Much like the rest of fiscal 2014, we expect this currency headwind to have an adverse impact on Q4 earnings. I'm very pleased with the quality of our Q3 financial results, further building on the momentum demonstrated through the first half of fiscal 2014. On a consolidated basis, for the third quarter of 2014, we reported revenue of $158 million, an increase of 60% in constant currency. We reported fundamental earnings per share of USD 0.47, which grew by 1,070% in rand compared to a year ago. Our third quarter results last year included direct implementation and smart card costs of approximately $21 million. Our Q3 2014 results do not include any implementation or significant smart card costs because we substantially completed our SASSA implementation in Q4 of 2013. Let me now turn to a discussion of our various segment revenues, operating income and margins. Our South African transaction-based activity segment posted revenue of $65 million during Q3 2014, 41% higher in local currency, driven primarily by higher volumes from the growth of our prepaid airtime and electricity products delivered through our mobile platform and from a higher transaction activity of our cardholders through the South African national payment system, both of which have lower margins than our traditional businesses. Our segment operating margin excluding amortization of intangibles improved to 19% from an operating loss margin of 5% last year, primarily due to the elimination of direct implementation costs, partially offset by an increase in lower margin airtime sales. CPS volumes increased slightly due to the organic growth in the number of beneficiaries added by SASSA, partially offset by SASSA's suspension of invalid grant recipients, which has, as Serge indicated, realized a saving to SASSA in excess of ZAR 3 billion per annum. EasyPay volumes have decreased due to fewer sales of prepaid airtime through its traditional distribution channels as customers switched to the use of the more convenient mobile delivery platform. The decrease in EasyPay volumes was partially offset by an increase in its core transaction switching and other value-added services such as bill payments. Conversely, Net1 mobile solutions volumes have increased, primarily due to the growth of its prepaid airtime and electricity products delivered through our mobile platform which was launched in fiscal 2014. Over time, inflationary increases in our costs could modestly erode our segment profitability. Segment margin may vary depending on the mix of products, particularly airtime sales. But on an absolute basis, we expect operating income to increase in constant currency assuming a stable beneficiary base. Our International transaction-based activities posted revenue of $35 million during Q3 2014, an increase of 6% in dollars, mainly as a result of South Korea-based KSNET's continued revenue growth during Q3 2014. Segment operating income excluding amortization of intangibles improved to 13% from 6% last year and was primarily due to the write-off of Iraqi data in fiscal 2013 and a higher contribution from KSNET's smaller yet higher margin businesses. For Q3 2014, KSNET revenue grew 6% in Korean won to $54 million, while EBITDA margin of 27% was up 200 basis points compared to last year. Our small card account segment posted revenue of $11 million, 57% higher in constant currency based on 9.6 million active cards from 6.5 million last year. Segment operating margin was 29% and 28%, respectively, for Q3 2014 and 2013. Our financial services segment revenue for Q3 2014 grew by an impressive 763% year-over-year in constant currency to $11.1 million, mainly due to the growth in the number of UEPS-based loans granted. Segment operating margin declined to 36% in Q3 2014 from 69% last year, primarily due to higher UEPS-based lending operating cost base and the significant increase in headcount. We provide for debts [ph] for UEPS-based loans at the time the loan is issued and based on all the relevant information we currently have related to the nature of this book. This implies that the margin of this business is lower during periods of high growth in the book. Therefore, given the growth of the book we have seen in April, we expect the margin in Q4 to be sequentially lower. While our lending book has grown significantly in fiscal 2014 compared to 2013, in Q3 2014, the growth rate slowed down as it appeared there is less demand for our financial services offering during the beginning of the calendar year following the Christmas and summer holiday period in South Africa. This seasonal trend seems to be confirmed by the reacceleration of the growth rate during March and April 2014. For Q3 2014, Hardware and Software revenue was $17 million, 144% higher on a constant currency basis. Segment operating margin was 24% compared to 20% last year due to more ad hoc terminal and smart card sales to our loyal customer base. Profitability in the segment can vary depending on the timing, quantum and mix of ad hoc Hardware and Software sales. Our Q3 2014 net interest income increased to $1.7 million, driven primarily by lower average debt outstanding and higher average cash balance during the period. Capital expenditures for Q3 2014 and 2013 were flat at approximately $5 million related to the acquisition of payment processing terminals in Korea. At March 31, 2014, we had cash and cash equivalents of $31 million, down from $54 million at June 30, 2013. The decrease in our cash balances from June 30, 2013 was primarily due to the expansion of our UEPS-based lending business, working capital changes, the repayment of a portion of our Korean debt and acquisition of all of the remaining shares of KSNET that we did not already own. We continue to fund the group's operations and capital investments, utilizing our cash reserves and cash generated from our business activities. During the next 12 months, we expect primary uses of cash to be the funding of our financial services offering, investments in our high-growth businesses, the servicing of our debt, share repurchases and strategic acquisitions. Our effective tax rate for Q3 2014 was 53% and was higher than the South African statutory rate of 28% as a result of nondeductible expenses, including interest expense related to our long-term Korean borrowings and stock-based compensation charges. Our tax rate will fluctuate depending on our intention regarding undistributed South African earnings and the timing of any payments, and we expect our effective rate for 2014 to be around 36% to 40%. However, the final rate may be influenced by the accounting treatment of our BEE transactions implemented during Q4. Our fully diluted weighted share count for Q3 2014 was 45.9 million shares. We issued 4.4 million shares on April 16, 2014 pursuant to our BEE transactions, and the weighted share count for Q4 should be roughly 50 million shares and for fiscal 2014, should be approximately 47 million shares, respectively. Including the 4.4 million shares issued for fiscal 2014, we now expect fundamental earnings per share of at least $1.90 assuming a constant currency base of ZAR 8.71 to $1. With that, we will gladly take any questions. Thanks, Dylan.
Operator: [Operator Instructions] Our first question comes from Dave Koning of Baird.
David J. Koning - Robert W. Baird & Co. Incorporated, Research Division: And I guess my first question, the businesses that are really starting to grow extremely fast, the first one, the Net1 mobile business. What are the economics there? I know you talked before it's a pretty small fee per transaction. Maybe you can talk to that a little bit. I think it was 45 million transactions in Q3. So if you can just talk through what -- kind of how that revenue stream, like how big that is and then what the margins again are? I think it's a little lower margin business.
Serge Christian Pierre Belamant: Yes, it's Serge. Well, firstly, it's a little tricky to answer -- to give you such a number, and the reason being that under our mobile offering, there are a multitude of different products that we are actually selling. And each one of these product, by definition, has got a different economic association with it. You will know from a worldwide point of view that whenever you're selling, for example, an airtime voucher, we would be getting a certain percentage discount on that particular voucher. Some of the discount we may or may not pass on to our consumers themselves, in other words, we might want to give a bit of a kickback to our own -- specifically our more vulnerable people in South Africa. But that means the margins are very, very low. When it comes, of course, to something like electricity, as an example, the margins are even lower, but the product is even more important for the poorest of the poor. When it comes to more banking products, then obviously your margins can be substantially higher while they remain very much lower than a standard banking product. And then of course, there are many other things that I've mentioned before. There are some products that we offer completely for free. For example, the emergency access to, for example, an ambulance service. And that wouldn't charge a fee at all. So it's actually a cost against our margins. But there are other products that we are now currently selling, for example, our latest solar panel-driven lamp, which really might be a one-off in terms of the fact that somebody buys it and we might make a small margin, which could be 10%, 15% of the value. But more importantly, that has got an embedded sim, for lack of a better word, that allows us to build the VoIP network as we deploy more and more lamps in more and more households. So certainly, our revenue there doesn't come from the lamps. It comes from the fact that we're providing a voice and data network utilizing a solar lamp as a cell phone charger and as, for lack of a better word, a WiFi hub. So it's very difficult unfortunately right now to give you a number to say, well, if you could only think to the part, this is the solar margin that you can come out with. So sorry not to be able to be more specific in that at this point in time.
David J. Koning - Robert W. Baird & Co. Incorporated, Research Division: Got you. Maybe just from really a high level, though. Can your overall transaction segment maintain -- I know 40% would be probably hard to maintain. That's kind of where you've been lately. But I mean, is this going to be a well over 10% growth segment for a while now but at the same time maybe margins stripped a little lower as that part gets bigger?
Herman Gideon Kotze: David, it's Herman. I think that's an accurate assessment. The aspect in the segment that really drives the revenue growth, obviously, is primarily through the airtime and increasingly, the electricity part of it. And because of the way in which we account for the airtime transactions, the margin is generally less or in the range of, I would say, 5% to 10% if we had to sort of generalize across all the airtime transaction types. And so if that is the single biggest growing component in the segment, it obviously follows that the overall margin of 40% or whatever it is will decline accordingly if this remains the fastest-growing part of the segment.
David J. Koning - Robert W. Baird & Co. Incorporated, Research Division: Got you, that's pretty clear. And then on the financial services business, I guess, that profitability just ramped significantly this quarter, and you did say margins have come down a little bit in Q4. But it sounded like growth is actually getting better, I think you said March and April got better. So I mean, should we expect the hyper growth there to continue for a while?
Herman Gideon Kotze: We -- what we're seeing in this business is actually an element of seasonality. It appears to us, also based on our previous experience when the book was actually a bit smaller in prior years and only done in specific geographical areas, that during the month of January and February we do seem to experience a bit of a slower period as people get out of the December summer holiday period over here in South Africa and the Christmas holiday period and people sort of get back home and they start working again and kids go back to school, we do experience a slight flattening of the growth rate during those specific months. And then that sort of picks up again during the March and subsequent period. We don't really see any reason why in the fourth quarter there will be a slowdown in the growth rate in terms of the number of new loans initiated. The impact that we do see, of course, is because of the way that our provisioning policy works and because we provide for any doubtful debts up front -- in other words, when the loan is initiated -- obviously, during periods of high growth, the provision and the expense related to it also increases. And therefore, the margin will be slightly lower than what we've seen in the last quarter. But obviously, on an absolute quantum basis, you will see that the revenue, then the resulting operating profit will increase accordingly. So if we had to sort of try and equate this to what we've seen before, I would say that the margin for the fourth quarter should more or less be closer to what we saw in Q2 of this year.
David J. Koning - Robert W. Baird & Co. Incorporated, Research Division: Okay. But you would expect that the EBIT dollars or the operating profit dollars that I think were $5 million this quarter, that's not going away? I mean, that's going to become sustainable over time?
Herman Gideon Kotze: Correct, yes. We expect that to be sustainable, and we expect both top line and bottom line growth. It's just that the growth rate profile may vary over time according to what the margin for any specific period of time is. But we do expect that growth to continue.
Operator: Our next question comes from Tom McCrohan of Janney.
Thomas C. McCrohan - Janney Montgomery Scott LLC, Research Division: I had a question on the pipeline. Can you give us an update on opportunities for your pension and welfare system outside of South Africa and how those conversations are progressing?
Serge Christian Pierre Belamant: Well, it's Serge here again. Obviously, what is good is that I think what we've achieved here is starting to be recognized in many -- by many organizations throughout the world. [indiscernible] Very recently, I don't know if you saw, we were named by the World Economic Forum as 1 of the 16 fastest-growing African companies, which is important. But for us, what was even more important is that it is also in a category of creating jobs and making social differences. So from that point of view, I think we are starting to get a few accolade in terms of what we can do. And we firmly believe that the sort of questions, queries that people are posing to us very often directly or through our partner MasterCard, we believe that there is a very, very good chance that we can start seeing the implementation of the same technology in a couple of other countries, certainly in Africa. But we're also hoping that it will be outside of Africa as well. We don't want to make Africa our sole country, for lack of a better word, sole continent of interest. We really believe this technology of ours can be used pretty much anywhere. And our next breakthrough, this breakthrough that I'm contemplating through 1 or 2 of our business divisions is that I would like to now have a fairly sizable country outside of the African continent. So we can't tell you much more than that. Yes, I believe that we are going to ramp up outside of South Africa, outside certainly of -- in Africa and of course, outside of Africa as well.
Thomas C. McCrohan - Janney Montgomery Scott LLC, Research Division: Okay. The new solar-powered lamp, Serge, are they part -- are the revenues from that included in Hardware and Software or is that in the South African transaction-based segment?
Serge Christian Pierre Belamant: Well, at the moment, this is a brand new project. We're starting with a very, very few of them. I think we're going to put out around 2,000 or 3,000 of them. But the sort of number of lamps that we're looking at is way in excess of 1 million, 1.5 million. And the concept of that obviously, again, is called social motivation, where we want to make sure that a lot of people in rural areas that simply do not have access to electricity will be able to at least have access to light. And therefore, through light, they'll be able to educate their children better because they'll be able to study. But of course, the lamp, as I mentioned, is also a cell phone charger, which means it allows them to actually now have access to communication, which without electricity they could not have. And more importantly, by turning the lamp into a WiFi hub, we now allow them to be able to communicate with other people using, for lack of a better word, data rather than to use voice, therefore reducing the price of voice communication. So our ultimate plan is really to become, for lack of a better word, almost a voice data network provider while building our own mosques, for example. But instead of being big concrete pillars all over the country, they just happen to be lamps, which are charged through solar panels. And if there is enough of those, we should be able to have a macrocosm of the WiFi hot spots, for lack of a better word, that -- and we will, of course, provide the actual major backbone of the network to make sure that people can talk to each other. So we see that as almost something that can become a business of its own.
Thomas C. McCrohan - Janney Montgomery Scott LLC, Research Division: And the revenue contribution from that, will that show up in Hardware and Software or in, let's say, transaction-based?
Serge Christian Pierre Belamant: No. I think you would get a little piece, of course, in Hardware and Software because the lamp is a lamp, and you're selling a lamp. But as you know, we've never focused too much on one-off sales. The other business which would be the recurring revenue that comes out of the utilization of the WiFi network, obviously, that will be -- that will certainly not be part of the Hardware and Software. And candidly, it's not even part of transaction. So we must -- I know that Herman, at the moment, is working on redefining some segments as well in order to give a bit more granularity to what we're doing.
Thomas C. McCrohan - Janney Montgomery Scott LLC, Research Division: Okay, that's helpful. And just the last question on the new tender process. You said you can help us frame out a timeline in terms of when do you think the process will get launched. How long do you think it will take to get a kind of a resolution on their selection?
Serge Christian Pierre Belamant: At the moment, it's very difficult. Because as you know, the Constitutional Court [indiscernible] capital leaseback and has given SASSA 30 days to commence a new tender process. Now obviously, some people misunderstood that because they will -- they would be issuing a new tender in 30 days. That's not what a tender process actually means. The tender process means that SASSA is going to go out and decide what would they want to have in the new tender. And that is something that's going to take a bit of time. I think the CEO of SASSA, Ms. Virginia Petersen, actually mentioned a few times that in her view, it might take anything up to about 12 months in order for them to do the work that they require before they could construct a new OFB [ph] and issue that OFB [ph]. So if it takes even 6 to 9 months for that to happen, which I think is quite probable simply because it's quite a big job and it will have to be reviewed many, many times before it is issued to ensure that in fact there are no errors or mistakes that could lead once again, well, for us it would be the third time to lead to a tender becoming invalid. So that 6 to 9 months I don't think is unreasonable. And then after that, of course, there'll be the evaluation, et cetera, et cetera, and that can take sometimes a huge amount of time simply because there are lots of people involved apart from SASSA. There is SASSA, there is Treasury, there's also some other people involved, and that takes time depending on the time of the year and what's going on at that point in time. And then after that, of course, there would have to be a period of phase out. In other words, whatever would be the new incumbent or the new winner assuming that it's not us, that person would have to do a huge amount of work in order to create the infrastructure that's already in place. And therefore, during that time, we will be actually still the people that are providing the service. So it's difficult to estimate. But in my view -- and this is purely an academic sort of a thought -- 18 months sounds reasonable and perhaps a little optimistic. It might be a little bit longer than that. But in my view, I would doubt if it will be shorter than that.
Operator: [Operator Instructions] Our next question comes from Russell Anmuth of Gotham Holdings.
Russell Anmuth: A small handful of questions. On the -- so if we can start with the NVCC. In the past, you've spoken about a significant relationship with an Africa consortium that would number in the many millions of people. Where does that stand at the moment?
Serge Christian Pierre Belamant: Sorry, I couldn't catch -- sorry, the line went very bad. I couldn't catch the question.
Russell Anmuth: Okay. So in the past, you've spoken about an NVCC relationship with a large Africa consortium, which numbers in the many millions of people. Where are you with that relationship?
Serge Christian Pierre Belamant: All right. Well, okay. I've got the question now, you're talking about MVC. And we had mentioned that we were working a number of very large -- well, not only necessary network operators, but people that are capable of implementing or marketing our MVC product. Now we are still very much on track with a couple of them. You will see that we are starting to do what I would call is small projects with a number of them, which I think is probably their decision to ensure that in fact we are capable of delivering. And depending on the success of the smaller projects, I think it's something that will expand through a national footprint or international footprint. So that, we believe, is still looking very, very good. The beauty is that we are starting to have small wins, which are generating revenue right upfront, allowing them to evaluate what we are capable of doing in order to really, for lack of a better word, make a much larger commitment, which is good on their side and certainly, satisfies us on our side.
Russell Anmuth: Okay. As you construct these small wins, which sounds like you've already done one or more of, do you feel that you can -- that are announceable so we can have some kind of a sense of how this business is progressing?
Serge Christian Pierre Belamant: I'm -- we would -- at this point in time, we've always been -- you probably know this -- fairly cautious in terms of only announcing a thing once we are 100% sure that they're going to happen. The capital one that you're talking about, yes, we've made a few wins already. We did announce one I think a while back in terms of our program in Malawi, the network operator. Now there are number of those that we are doing that are very much at the commencement stage, so they're not generating a huge amount of revenue, but ensuring they had huge potential growth that we've seen in South Africa. And the beauty about those type of programs is that they build the confidence with the operator. And once the confidence comes with these operators, it is much easier for them to then commit to doing something across multiple countries rather than one country at a time. So I'm really hoping that before the end of this calendar year, not the financial year, but certainly before the end of the year, we might have 2, 3, 4 of those wins which are starting to generate good money and therefore by then, we're hoping to have finalized a fairly, what I would call, big win with one of those big companies that I was talking about that can take us international rather than to simply in a nation.
Russell Anmuth: That's very helpful. And it seem -- not to belabor the point, but it would seem that it would behoove you to make these announcements. So even at the beginning stage, people worldwide in the business in the industry see that the solution is commercial and workable and that you have something for real.
Serge Christian Pierre Belamant: Yes. And your point, once again, is very valid. We have been, and I suppose I'm one of the ones to blame. I think we have been fairly bad in the past at what, I would call at least putting together a decent marketing plan simply because we used to focus very much on businesses that were, let's call it, more government-orientated businesses. And therefore, there was very little need for us to actually go out and try to convince anybody of anything because all we needed to do was to convince a particular government. As you know, our business has not changed. We're more targeting consumers. And therefore, our marketing strategies have got to change as well because we now need to expose our companies, our technology, our people, what we do, how well we do it to many more millions of people out there rather than to simply to try to convince a few ministers in a few different government -- or governments themselves. So you are quite right, and that is something that, in fact, we are busy planning as we speak. And we are -- we have already, my understanding is, at point of the capital specialists that are reviewing our marketing strategy in order to ensure that we start telling the world out there that this is not simply any just company, but this is a company worth watching.
Russell Anmuth: Okay. To move it -- to move the conversation to the developed world. Given all the security issues that we've seen over the last several months, are you developing traction for the NVCC in Europe and in the United States with merchants and or with MasterCard and Visa?
Serge Christian Pierre Belamant: Visa, no. MasterCard, yes. Because as you know, we do have a relationship with MasterCard at this point in time. We do not have one as such with Visa, although that I believe that one of our banks that we use here has now obtained a temporary Visa license. So we should be able to start entering into some negotiation with Visa. But at least with MasterCard we've progressed quite a long way. MasterCard's programs, and they've got a few social orientated programs which they have now formed a team which I believe is based in New York anyway. And that particular team tells us that there are many, many opportunities that's covered something they've talked about 20, 23 countries, in which our particular programs and our particular technology will be very, very useful. So we are still very much on our side at this point in time linking our success of deploying our UEPS technology in other parts of the world to MasterCard's willingness and appetite in actually penetrating these markets themselves. When it comes to MVC, which is really a very different categorization [ph] , we are starting to put our own networks in place. In the United States, we've got a new program that's solely running MVC. We are also launching it -- we've launched MVC in India in one particular program. We are launching it with another program in India. So MVC is starting to get traction. And in that field alone, there are also a number of international opportunities with some fairly large firms that are very much considering MVC as an added value product for them to actually offer to their own clients. So at the moment, we're not really doing the marketing directly to the end user, but we are looking at what it could be that will get a benefit by offering MVC to their own customers. We think that we -- it would be a little bit quicker even if our margin will be obviously smaller because we obviously have to cut them in. But we would like to be able to get a win where we can start ramping up the technology not at the few thousand customers a month, but more at a couple of hundred thousand customers a month, and that's really what we are focusing on through one of the division of our mobile division.
Russell Anmuth: Sure. It's certainly time to market, and this makes much more sense in trying to share -- in trying how [indiscernible].
Dhruv Chopra: Russell, one last question.
Russell Anmuth: Only one more? Okay. Where do you stand with -- in the past, you've also mentioned working on the incorporating the NVCC technology into the digital wallet of the largest mobile phone handset carrier in the world. Where does that relationship stand?
Serge Christian Pierre Belamant: They are -- we are working with 2 of those. We can't mention their names, but there aren't that many around. And one of them, we've already done a numerous pilots which are live. In other words, they're actually using the technology themselves in order to test it out and to make sure that they are happy, and it's been working for quite a while. So we're in quite advanced discussions with them. The other one, we've visited on numerous times and they are also, I believe -- and again, this is me believing it -- reaching a final decision. And right now, it appears the decision looks promising and positive. We have gone as far as tabling obviously the financials and what the deal would actually be. And at this point in time, all of that initially, there was negotiation and pushback as we were all expecting, we believe we have reached something that appears to be acceptable to both parties. So for them, of course, it's a massive strategic decision to make. It's understandable because that will be international. But we feel that -- I think it's something that's great for what they're trying to do and of course, at the same time, it would be fantastic for what we're trying to do. So we haven't given up on those. We're pushing those as fast as we possibly can. But like I said, in the meantime, we keep on putting this little -- or lighting up these little fires around this particular space. Because I think the more little successes we have and although we might not have announced them, the people we're trying to convince are all aware of those little successes. Because they've seen they will and they feel, which means we don't really have to tell anything. They can see it for -- they can see it themselves. So again, we're hoping that we will reach final decisions very, very shortly. I hope the decision would obviously be positive. But other way, we will certainly tell our investors as to -- if the -- once it's final in one form or the other, we'll obviously tell you all if it was successful or if it was not.
Russell Anmuth: Okay. Just as a follow-up to that. So the company that you're working on numerous pilots with, are those pilots based in Asia?
Serge Christian Pierre Belamant: They're a little bit all over the place. I think the rule wise is that we definitely have to do one in the Asia area, as well as obviously 2 things that -- because we have a big business in South Korea that we would be silly not to obviously do something in South Korea. But the others are more based in Europe, the United States and Africa.
Russell Anmuth: Okay. And then when you talk about everybody, are all these handset companies Android-based?
Serge Christian Pierre Belamant: No, no, no. We're not focusing at one particular platform. We are certainly going across all of the different platforms that are available today. So today, the product is available on any phone and not only the most advanced technological phones. But it's valuable as well on the old-fashioned telephones, which today can only work using, for example, an SMS. There are many countries in the world where, let's call them, the more advanced phones of this world are not just financially available and we do not want to exclude 5 billion people out of the service.
Operator: Our final question comes from Dave Koning of Baird.
David J. Koning - Robert W. Baird & Co. Incorporated, Research Division: Yes. I just have a couple of quick follow-ups. But one is, just so we're all clear that the $1.90 of EPS using kind of the year ago average rates, I just want to make sure we get -- in U.S. dollars, that's in the ballpark of $1.60? So I just want to make sure Q4 number. You're implying somewhere in the $0.46 or $0.45, something like that?
Herman Gideon Kotze: This figure, I'll clarify that, Dave. The $1.90, of course, assumes the constant currency that we sort of already introduced to try and keep things comparable. If we look at where we are year to date for the 3 quarters, plus -- which is about $1.25 and we extrapolated that to where we believe we'll end up and, obviously, with a bit of subjective guessing as to what the rand dollar exchange rate will be for the last -- for this fourth quarter and we're basically halfway through the fourth quarter, I would say that we would end up with an actual EPS based on the guidance we've given of roughly $1.60 or thereabout.
David J. Koning - Robert W. Baird & Co. Incorporated, Research Division: Got you, okay. So $0.35 or something like that in Q4?
Herman Gideon Kotze: That's about right, yes. And that obviously takes into account the fact that we have 4.4 million shares -- additional shares to take into account for the denominator in Q4.
David J. Koning - Robert W. Baird & Co. Incorporated, Research Division: Yes, that makes sense. And then there's nothing unsustainable in 2014. I mean I know there's a little lumpiness in hardware and stuff like that. But for the most part, it sounds like the business is in general growth mode. I mean, we shouldn't be surprised to see some growth expectations when you give fiscal '15 guidance next quarter, right?
Herman Gideon Kotze: Yes. So if we look back at fiscal 2014 so far, the only real ones-off kind transactions -- and we haven't really accounted for that yet but account for in Q4 -- is, of course, the BEE transaction. So that's something that is -- will be in this fiscal year. But generally speaking, for all the other business lines, with the exception of the Hardware and Software sales segment, the other businesses are all recurring revenue generating businesses. We believe that all of these businesses are in growth mode. Obviously, we wish that we could grow faster than what we've demonstrated for the last fiscal year. But obviously, as these businesses grow, it becomes more difficult to sustain the kind of growth rates that we see for lower base. But looking forward at this point with 6 or 7 weeks to go, I think the guidance that will come up for 2015 will largely be based on the activities that we saw in 2014 because there hasn't really been any ones-off significant contributors to date that would cause us to take a step back and to use a different base for the calculation of what we'll do next year.
David J. Koning - Robert W. Baird & Co. Incorporated, Research Division: Okay, okay. Great. And I guess one little one. So free cash flow is way better this quarter. It seems like we're past some of the impacts of the lending business. I mean, should we expect sustainable better free cash flow now?
Herman Gideon Kotze: Difficult to say. The free cash flow can also be a little bit lumpy. Our working capital changes dictate to a large extent what our quarterly free cash flows do. We have a tax payment coming up as well in Q4. In South Africa, we pay taxes effectively 3x a year. But 2 of the 3 are much bigger, those ones being in June and in December. So at the end of June, we'll pay our provisional payments of taxation in South Africa, which will have a fair wreck on our free cash flow per share or just the free cash flow generated. We obviously have the growth in our loan book to contend with. So to the extent that we see a fairly sizable growth in the book over the next couple of months, that will obviously have a short-term impact on the free cash flow generated by the business. But if we look generally and we take, again, a forward view and we strip out the growth specifically in the financial services business over the last 12 months, I think if we look forward to 2015, we should be back to a more, let's call it, predictable and stable free cash flow generating business. And certainly, we expect the business to be cash generative for the foreseeable future. In the absence of any extraordinary or calamitous events, we believe that the free cash flow generation will only improve from this point going forward.